Operator: Good day and welcome to the American Woodmark Corporation Conference Call. (Operator Instructions). The company has asked us to read the following Safe Harbor Statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors that may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in such forward-looking statement. Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission and the annual report to shareholders. The company does not undertake to publicly update or revise its forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized. At this time, I'd like to turn the call over to Glenn Eanes, Vice President and Treasurer. Please go ahead.
Glenn Eanes: Thank you. Good morning, ladies and gentlemen, and welcome to this American Woodmark conference call to review our financial results for our fiscal quarter and year ending April 30, 2014. Thank you for taking time to participate. Participating on the call today from American Woodmark Corporation will be Kent Guichard, Chairman and Chief Executive Officer and Scott Culbreth, Senior Vice President and Chief Financial Officer. Scott will begin with the review of the quarter and annual results concluded with an outlook on the future. After Scott’s comments he and Kent will be happy to answer your questions. Scott?
Scott Culbreth: Thank you Glenn. This morning we released results of our fourth fiscal quarter ended April 30, 2014. The financial headlines for the quarter, net sales were 189 million, representing an increase of 10% over the same period last year. Reported net income was 5.6 million or $0.36 per diluted share in the current fiscal year versus 5.2 million or $0.35 per diluted share last year. For the 12 months ended April year-to-date net sales were 727 million representing the increase of 15% over the same period last year. Net income was 20.5 million or $1.31 per diluted share in the current fiscal year versus 9.8 million or $0.66 per diluted share last year. For the current fiscal year the company generated 40.5 million in cash from operating activities compared to 24.5 million from last year. Some additional comments on sales performance starting with the new construction market. Single family housing starts impacting the company’s new construction business were effectively flat for the fourth quarter. Single family starts during December, January and February of the prior period average 628,000. Starts over that same time period from the current year averaged 615,000. With the 60 to 90 day lag between start and cabinet installation, the overall market activity in single family homes is effectively flat for the period covered by our financial fourth quarter. Our new construction based revenue increased over 25% for the quarter, a reduction from the over 40% growth from the first half of our fiscal year due to a combination of the flattening of market activity on a comparative year basis and our efforts over the last 12 to 18 months to exit non-strategic low margin pieces of our business mix. Our growth in excess of starts continued to be driven by our partnerships with national and regional builders that are gaining share of total starts and an increase in share penetration with those builder partners, and the better-than-average health of the markets where we concentrate our business. On a remodel side of the business the picture remains mixed, on the negative side residential investment as a percent of GDP for the first calendar quarter 2014 declined for the second straight quarter reversing a consistent trend of improvement. The index had increased to 3.2 for the quarter ended September 2013. For the quarter ended December 2013 index declined to 3.1 and for the quarter ended March 2014 the index declined to 3.0. Existing home sales continued to decline through the first quarter of 2014. Between January and March of 2013 existing home sales averaged 4.9 million. That same period for 2014 averaged 4.6 million units and last month sales volume remained lowest since July 2012 when it was 4.59 million. All cash purchases rose from 29% in 2012 to 31% in 2013 and 33% in the first quarter of 2014. In Florida more than half of all homes were purchased with cash. High levels of all cash sales were also recorded in Nevada, Arizona and West Virginia accounting for close to 4 out of 10 transactions. This trend is concerning since cash purchases signals investor activity and they are less likely to remodel than an [own-to-occupy] [ph] buyer. Interest rates have risen approximately 80 basis points since the beginning of 2013 from 3.5% to 4.3% for the 30 year fixed rate mortgage. Combined with an over 8% rise on average home prices the affordability index has declined thus disqualifying first time buyers and reducing discretionary funds available for major remodel activity on the part of the successful buyer. Now on the positive side unemployment continues to improve. The U3 unemployment rate remains below 7% and U6 remains high but finally fell below 13% for the first quarter of 2014. For the remodel side of the industry we continue to see a bifurcation of the consumer with the upper part of the market sustaining a positive trend line in the middle of the market resistant to make big-ticket discretionary model projects. This plays out in channels of distribution with dealers. We tend to have a more fuller customer base with household incomes over 100,000 per year outperforming big box and distributors with model operations who tend to have more mid-level consumers with household incomes in the 50,000 to 60,000 range. Our Waypoint dealer business continues to gain momentum, but we still over indexed versus the industry to the big box distribution. As a result in this environment we generated growth in our remodel business but lagged the industry in overall growth in the remodel side with a decline in units more than offset by mix in pricing. Regarding gross margin performance, the company’s gross profit margin for the fourth quarter of fiscal year 2014 was 17% of net sales versus 18.9% reported in the same quarter of last year. Although unfavorable to prior year we did see an improvement of a 160 basis points versus the third fiscal quarter result of 15.4%. Year-to-date gross profit margin was 17.1% compared to 16.3% for the same period in the prior year. Year-to-date the company has generated year-over-year incremental gross margin of 21.5 million, on incremental net sales of 96.1 million resulting in an incremental gross margin rate of 22% slightly below our target of 25%. Regarding gross margin versus the prior year for the fourth quarter, gross margin was negatively impacted by both material inflation and costs associated with crewing and infrastructure to support higher levels of sales and installation activity. We continue to experience inflationary pressure across a broad range of direct material inputs during the fourth quarter particularly on all species of hardwood lumber. Average unit material cost increased almost 12%. While the higher material cost was partially offset through customer management, product mix and some pricing relief, gross margin was still adversely impacted. We anticipate the material inflation will continue to impact us in the future. Our third fiscal quarter results included negative gross margin impacts from our decision to retain accruing and infrastructure necessary to support higher volumes. We narrowed the gap in the fourth fiscal quarter and believe that we have a return to the trend line in place prior to the government shutdown in October of last year. The negative impact from rising material cost and additional infrastructure was partially offset by lower labor cost and leverage on fixed and semi-fixed overhead. Direct manufacturing labor cost improved as a result of higher productivity. The Company generated leverage of overhead with spending increasing 6% on a 10% increase in sales. Regarding operating expenses, total operating expenses improved from 13.7% of net sales in the fourth quarter of the prior year to 12.3% this fiscal year. Through 12 months SG&A improved from 13.5% in net sales to 12.5%. Selling and marketing expenses were 7.9% of net sales in the fourth quarter this year compared with 8.7% in the prior year. Selling and marketing costs generally fluxed with activity. General and administrative expenses were 4.4% of net sales in the fourth quarter of fiscal year 2014 compared with 5% in the prior year. Improvement in our operating expense ratio is a result of leverage from higher volume and lower pay-for-performance costs. With respect to restructuring the company completed the sale of its Hazard County facility during the fiscal fourth quarter and retired associated debt of $3.2 million. The transaction also resulted in approximately 400,000 of favorable restructuring charges. For cash flows, the company generated operating cash flow of 40.5 million during fiscal 2014, an improvement of 16 million over the prior year. The improvement in operating cash flow was driven by higher profitability, more efficient inventory management and lower pension contributions. Net cash used by investing activities was 9.6 million during the current fiscal year compared with 6.1 million during the same period of the prior year. The increase was due primarily to higher proceeds from assets sales in the prior year. The company repurchased a 100,000 shares of common stock in the fiscal fourth quarter that cost a 3.1 million. The company increased cash by 38.7 million during fiscal 2014 to 135.7 million. In closing the fourth fiscal quarter continue to present challenges, most notably weather impacts across the country that slowed construction projects and confidence in the middle income consumer’s appetite to purchase a new home or begin big ticket discretionary home improvement projects. Material inflation continued to place pressure on margins with upward momentum continuing. We continue to improve our direct labor efficiency and generated favorable leverage on our semi-fixed and fixed overhead with additional volume. As discussed in last quarter’s call we indicated as we gotten into the spring we would see if our channels of distribution returned to the trend line or if the government shutdown at successive events had altered that trend line. Based on the activity we experienced during the fourth quarter we are encouraged that the industry appears to be returning to the trend line and we have closed the margin gap at our new construction business related to infrastructure and crewing investments. Regarding our fiscal year ’15 outlook, for the market we expect single family housing starts to grow approximately 20% with stronger growth projected in the back half of the year. Interest rates will continue to climb along with increases in the average price of new homes, which will negatively impact affordability particularly for the important first time and first upgrade buyers. Unemployment should continue to improve. In this environment our expectations for company performance are as follows. The remodeling business will continue to be challenged until economic trends remain consistently favorable but we expect to generate overall growth based largely on our dealer business. The new construction business should continue to perform ahead of the market with rationalization efforts largely behind us. Although material inflation will persist, the company expects to increase it's gross margin rate and grow net income in fiscal year 2015. This concludes our prepared remarks. We would be happy to answer any questions you’ve at this time.
Operator: (Operator Instructions). And we will take our first question from Sam Darkatsh with Raymond James.
Josh Wilson - Raymond James: This is Josh filling in for Sam. Thanks for taking my questions. Could you talk a little bit more about your outlook for your own pricing plan to industry pricing?
Kent Guichard: Well what we saw certainly impacted the third and fourth quarters, again we talked about in the calls the delay impact between when we experienced inflation and when we have opportunity to recover from the marketplace. We saw some of that activity start last fall, if you go back to the last couple of conference calls there is certainly when it first comes in the question is will it hold on the marketplace? It looks like the activity that happened last fall has held in the marketplace but as Scott mentioned we continue to experience additional inflation. The price in the marketplace we’re seeing right now is fairly stable, we have heard some rumblings about industry movement, they recover additional inflation that's happened over the last call it nine months or a year since the industry went to the market for a little bit of relief last fall. We haven't actually seen that on the street yet, we have picked up that some of that is going on. So my expectation particularly in-light of the increased inflation on the raw material side is that the industry will continue to go to the market to try to recover that.
Josh Wilson - Raymond James: And just to make sure I heard correctly, you do expect higher gross margin for the full year in 2015 versus this year?
Kent Guichard: That’s correct.
Josh Wilson - Raymond James: Okay. And one of your competitors talked a little bit about some promotional activity in this most recently completed quarter. Did you see any of that? And does that -- do you think that is something that persists, or was that just weather related?
Kent Guichard: I certainly don’t think it was weather related and it's certainly wasn’t consistent either across manufacturers or even within manufacturers across channels. So we didn’t see a wide spread reversal or increase in the promotional activity. We did see it's spotty in certain places with certain accounts but it was for very brief period of time primarily related to other promotional close outs that were being run by the big box but for the year we think that the promotional activity in the industry subsided again just a bit, it's still elevated versus where it was 3 or 4 years ago but we didn’t see a consistent trend returning to higher promotional activity.
Josh Wilson - Raymond James: And one more, if I might. What's the remaining authorization on the share repurchase?
Kent Guichard: We had a 10 million authorization. We had announced that we would consume in this calendar year ’14. So if you take the 3.1, thereabouts you’ve 6.9 left. We’re about -- at the end of April we are about a third of the way through the year and we have used about a third of the authorization.
Operator: And we will take our next question from Josh Chan with Robert W. Baird.
Josh Chan - Robert W. Baird & Company: I was just wondering if you would be able to quantify the gross margin impacts from raw material, and also the accruing inefficiency?
Scott Culbreth : Well with respect to the raw material inflation what I can tell you is the overall impact was a little north of $6 million in the fourth quarter. I can tell you that it was approximately $17 million on a full year basis as a percent of sales. With respect to accruing impact, the impact within the quarter was a little under a 100 basis points impact on margin.
Josh Chan - Robert W. Baird & Company: And how should we think about these headwinds going into next year? You talk about the accruing potentially moderating. Should we expect a bigger impact in the first half than the second half, and then a trailing impact? Is that the right way to think about it?
Kent Guichard : No, I think it all depends on the market and if we’re back to the trend line which we certainly have indications of how quickly you jump back on that and then start hopefully experience the growth. When we talked about it last quarter, if it doesn’t come along we will go ahead and make some adjustments to that infrastructure. For next year what I would do, with Scott’s comments is we still think the remodel market is going to be pretty subdued. We don’t see very particularly in the first half but we don’t see a lot of dynamics coming together to really bring that $50,000 to $60,000 consumer back in a big way. So it's really going to be I think driven in large part by -- predominantly by new construction. So if you watch the new construction particularly the single family starts I think that’s a good indication about how we think the year is going to roll out and whether or not we can grow into the rest of that infrastructure or whether or not we have to get in there and kind of rebalance it based on the business that’s out there available in the market.
Josh Chan - Robert W. Baird & Company: And you mentioned the dealer business should grow nicely. Is there a way to give us an understanding of what size the business is, relative to the overall currently? And maybe where you're gaining share in the dealer business?
Kent Guichard : Yes, you can look at it two ways, you can look at it to the overall business and we’re kind of in the mid to higher single digits on that. If you look at it as a percentage of our remodel business we’re well into the teens of our total remodel business. We launched about 3-4 years ago really at ground zero. So it has as we have talked about -- we haven't talked about the last couple of calls which you go back maybe 3 or 4 calls ago, it's starting to move the overall growth needle.
Josh Chan - Robert W. Baird & Company: Okay. And lastly, can we talk about your repurchase philosophy? You set the target for the year. But if there's an opportunistic chance to make a more aggressive repurchase, do you think the Board would be willing to implement a larger authorization based on what's available in the market?
Kent Guichard: Yes. And we have talked about this before. Certainly there is a baseline going forward kind of our baseline is that we will offset the dilutive impact of our equity plans. On top of that based on what the board sees coming in terms of -- we and the Board see coming in terms of the investment cycle and what funds might be needed as well as where we’re in terms of the stock price and the market that the Board would certainly be open to doing another authorization sooner if all of those kind of stars lined up and it made sense.
Operator: And we will take our next question from Rick Johnson with Thompson Research Group.
Rick Johnson - Thompson Research Group: Yes, hi. This is Rick filling in for Nick this morning. Thanks for taking my question. With TRG, if you look at volumes, for other building products companies, coming out of winter, we have seen volume improvements, but not what the industry was expecting. How American Woodmark's post-winter volumes compared to your expectations?
Kent Guichard: We had -- the winter is as I would say that we’re probably similar to everybody else. Certainly, I think that there was a hangover in the aftermath of the shutdown that impacted kind of the consumer psyche particularly again in that middle market consumer. On top of that we had the weather which is very difficult to quantify but you have to assume that with the weather we had particularly in the Mid-West and the North East that had some impact on people’s either physical ability to get out or emotional willingness to go out and launch a project, such as redoing a kitchen. As we got into the spring selling season what I would say is that our -- we were hopeful but little bit subdued based on the baseline. We did see a spring selling season that I would say it was probably consistent with our expectations, it was not a weak selling season but it wasn’t kind of a real strong over the top selling season. So we had a decent selling season on the remodel side, that was probably consistent with our expectations as we got into in February and maybe March but the new construction side has been a little bit slower to come back versus what we saw is kind of a stalling out in that November, December, January period. There are lots of dynamics to that and in some areas it's weather, there are some land limitations with some of our builders, some of our big accounts have and again we have got kind of this affordability issue that Scott mentioned between the price going up compounded with the interest rates up almost a full point. So that is kind of steady state, we will see I mean last month starts we’re permits in starts were little bit encouraging but that’s probably lagged a little bit. So I again kind of wrap it up, I'd say remodel was probably consistent with our expectations, and new construction was probably a little light versus our expectations.
Operator: I will take our next question from Garik Shmois with Longbow Research.
Mark Zikeli - Longbow Research : This is Mark in for Garik today. To go on the last question, wonder if you can provide a little color on any trends in May, and how sales have been going over the first month of the quarter?
Kent Guichard: Well I mean we won't get into all that specific on it partly because particularly on the remodel side when with promotional close-outs that have a tendency to drive volume and you get kind of a peak/valley thing. So on a short term basis you know for 2 to 4 weeks we don’t draw a lot of conclusions. So I would just kind of reiterate what we just said and that is that on the remodel side the season was consistent with our expectations and it's probably little light on new construction. We will go into a slower period here in June and July, near the end of July we have a tendency to have another kind of on the remodel side, kind of another round of promotional close-outs which help us and then you really are kind of looking at the fall selling season. So again we’re on track with again with the comments that Scott made about our expectations for next year and nothing in May would have really changed that one way or another.
Mark Zikeli - Longbow Research : Just lastly, here, I was wondering if you can break out price versus volume in the quarter, how to get to that 10% revenue growth you saw? Thank you.
Kent Guichard: Yes, we don’t really break that out. There is lot of moving parts in there because you also have product mix in there as well as volume and pricing. So we kind of when you go through that depending on what lines we have introduced or what lines we emphasize with promotional activity and those types of things, that it really doesn’t give a lot of inside if you try to separate those out. So what I would say is that all of those were a component of that. We were certainly able to get a little bit of price relief going back to last fall. The larger impact is volume and mix.
Operator: And next we will hear from Scott Rednor with Zelman & Associates.
Scott Rednor - Zelman & Associates: Question on the builder side. Even with the headwinds, you guys outperformed the market, according to your flat analysis, by 25%. And next year, you obviously expect some of that to continue. Can you help us understand -- because that hasn't been a one quarter or two quarter phenomenon, that's been a multi-year phenomenon and how you guys see that playing out in your 2015 guidance?
Kent Guichard: The similar impact and you’re right, I think we kind of went into this several calls ago but so just kind of bring you up-to-date. We have consistently outperformed the market. The first two quarters we were -- call it 40 and the market was probably in the mid-20s low to mid-20s. The market really flattened out on us. We have been on the single family side at the 600,000 plus or minus starts, really since October of 2012. So there hasn't really been a lot of growth there and that’s what really kind of trimmed our rate under 30% on kind of the mid to high-20s. But that gap is still there and it's been relatively consistent, and it really is our customers -- we have done two things on the customer side. One of them is, we have targeted to build partnerships with builders that are gaining shares of starts. Our builders have a tendency to gain share. They do have a little bit of headwind behind them because they are concentrated in markets that are over indexing at this point versus the overall market. So a lot of our builders, with maybe the exception of the Mid-Atlantic. But when you get into Florida, Texas over to Arizona, Vegas and even out in the California which is where a lot of our business is concentrated. Those are markets that are doing better than the overall market but our builder partners are gaining share in those markets and we have gained share with those builders and so kind of when you roll all that up even when the market is flat, we’re still able to generate growth.
Scott Rednor - Zelman & Associates: So is 25 the right number for next year, in terms of that spread? Or are you guys willing to quantify that in any way to help us think about if the markets up 20, what you guys are budgeting?
Kent Guichard: No we obviously have a budget, we won't share that. What I would do is, and you’ve it now just look at historically how we have done versus the marketplace. I think that’s relatively good guide overtime that number will have a tendency to moderate because either you get a 100% share of a builder or you get to a point where they are just unwilling to give you more because they do want to maintain for variety of reasons more than one supplier. So there is a maximum you can get to share. So I still think our builders will outgrow the market, I still think we will gain share but as you go forward through time the amount of share that’s available to you does diminish a little bit, it does kind of go through that kind of cycle where either you get a 100% of a builder or you just get to the point where it's the maximum they feel comfortable with So might trim a little bit but I think they are probably the difference between our growth on the new construction side in the marketplace for the last couple of years is probably -- that spread is probably a pretty good guide.
Scott Rednor - Zelman & Associates: And I guess you guys are strategically walking away from business. Some of your other competitors have publicly commented that they're strategically walking away from business. Kent, is this cycle any different, a little bit more disciplined than prior cycles, in your opinion? Or is this just a natural progression of coming out of the downturn, in terms of what you're seeing from both yourselves and the competitive environment?
Kent Guichard: I think it's a little bit different. Certainly the cycle was extreme and at least in the previous cycles that I’ve been through we didn’t see as much kind of your term as walking away from business, Scott called it rationalizing of accounts, I think that’s because historically the cycle wasn’t extreme enough to drive pricing in certain areas down to the point that just wasn’t sustainable when you’re either at full capacity or having to put in new capacity. So the existing of markets I think is a little bit different than we have seen in the past. There is a little bit of I think a misnomer in there in that, the markets that a lot of people are existing they are not existing the market they are existing the market on a direct basis. That’s not entirely true. Some people including our sales have exited markets, but there has also been this kind of a shift that’s taking it to a distributor base model as opposed to doing a direct to turn some of your cost into variable versus fixed. But having said that, yes there has been I think a little bit of a difference in this cycle than previous cycles in terms of I think maybe a little bit more rationalization of business and again I think it's driven by some of the price points that we all went to just to kind of keep the lights on during the darkest of the dark kind of down there at the bottom. Where it's going to come? I don’t know, whether that business comes back into kind of the sweet spot because the pricing will come back up to something that’s tolerable, or whether there's some people out there that are willing to continue to support that business at the lower pricing I don’t know. We have pretty much as again Scott mentioned, we pretty much rationalized everything we plan to rationalize at this point. We also have one or two quarters where we comp it, by the time we get in the back half of this year I think we will be at pretty steady state in terms of apples versus apples comparison on our growth.
Scott Rednor - Zelman & Associates: And just one last one. Any update on the CapEx?
Kent Guichard: Yes we have got it ready to go which is the kind of the next round of investment for us in capacity, but we continue to watch the tea leaves in the market and I’m sure you saw that they just revised it downward. The first quarter of the calendar year GDP actually was negative growth, it was down about 1%. I think the first look was zero but it has been revised to -- actually the economy shrank a little bit and so we have -- I think we mentioned on our last call, we had originally if you go back a year or so, we talked about meaningful capacity in the spring of ’15. We have moved that out to having to need that capacity on the fall of ’15 which means we would seek approval from the Board for a capital project probably at the end of the summer, this summer. It's about probably 10 to 12 months lead time to get that capacity in place and able to actually provide meaningful increment to production. So with what we see now, again being encouraged by the trend line coming out of the winter into the spring as we would right now anticipate that we would get approval to do a project which we then share with you probably at the end of the summer, maybe our first quarter conference call.
Operator: (Operator Instructions). And we will take our next question from Morris Ajzenman from Griffin Securities.
Morris Ajzenman - Griffin Securities: For the full year, top line grew approximately 15%, 10% in the most recent quarter. And you're giving us guidance out to next year, gross margins and net income to rise. And that's put together by remodeling being, again, as you say, challenged and subdued, new construction continued to perform better. Put that all together, can you give us some sort of feedback or guidance on how we should look at the top line? Should the top line grow mid-single digits better than that? I know you don't give guidance from the perspective of where you'd be comfortable seeing us looking at next year, based on what you've given us, what can you comment on that for the top line growth?
Kent Guichard: Well I think, go back to answer a couple questions ago and that is I would -- as far as guidance I would suggest that you kind of follow single family starts. Again Scott mentioned kind of on that 60 to 90 day lag for us because that’s kind of the difference between the start and when the kitchen goes in. I would expect the growth as we mentioned on our remodel side to be pretty pedestrian. I think the industry will grow but I don’t expect it to do anything significant on that side. I think the market will be pretty stable again with dealers over indexing versus the market. But really I think for our growth next year, from our perspective it's really kind of about new construction. So whatever your forecast is for single family starts for the rest of this year and into the first couple of months -- next year, you know that’s probably what’s going to drive our top line.
Morris Ajzenman - Griffin Securities: And for modeling purposes, SG&A as a percent of sales for the full year was 12.3%. I think that's right. I'm sorry, for the quarter, 12.5% for the year. How will that play out into next year?
Kent Guichard: Well I think our SG&A line primarily because of our pay-for-performance program has a tendency to be a little bit lumpy but if you look at it in terms of percentage of sales we’re pretty consistent on that line. We have been pretty consistent on that line. So I would expect that you might get just a tad bit of leverage but where we have been running we’re pretty happy with where we have been running. It allows us to really move the business forward and maintain those costs. So we would expect that we would continue to manage those costs in a fashion that’s pretty similar to what we have historically.
Operator: Next we will hear a follow-up question from Josh Chan with Robert W. Baird.
Josh Chan - Robert W. Baird & Company: Just one follow-up question. Given what you see out there in terms of competitive dynamics and raw materials, how long do you think it will take the industry to recover the cost gap, in terms of the recovering pricing over the material inflation?
Kent Guichard: Well in the -- we talked about this a little bit in the last several calls or really last year maybe year and half since we have seen this inflation is we don’t operate an industry that has historically been able to get prospective inflation. We basically recover inflation after it's hit. That's just the industry, how it's operated for a lot of reasons. And once you’re at the point where you’ve had enough inflation where it makes sense, I think where it makes sense for the industry to go to recover from the marketplace versus when you actually get it, it can be 6 to 9 months depending on the timing and the little longer in new construction, on the remodel side. It depends on when you go to market because there is certain windows of opportunity to get pricing. So it's probably about nine months to recover what’s happened. I think the issue we have is twofold one is that it's the delay and Scott talked about the 17 million last year and the 6 million in the fourth quarter. One is the delay of recovery on a 6 to 9 months basis, the inflation that’s already occurred. The other thing we’re experiencing is inflation has continued to ratchet up. It hasn't stopped and in some cases it hasn’t slowed down on certain inputs and materials. So we're going to be chasing this thing, we’re going to be behind it and chasing it until that inflation flattens out and then 6 to 9 months later you do in essence, the last round, and you catch up and you recover your cost. So we will continue, I think the industry will continue to try to recover those again, on that 6 to 9 month lag. But as inflation continues we’re going to continue to be behind that inflation curve and to Scott’s remarks, I would expect that we would continue to see the raw material cost partially offset improvements in margin that we’re able to make in other areas.
Operator: That does conclude today’s Q&A session. I will turn the call back over to our presenters for any additional or closing remarks.
Glenn Eanes: Since there are no additional questions this concludes our call. Again thank you for taking time to participate and speaking on behalf of the management of American Woodmark. We appreciate your continuing support. Thank you. Have a good day.
Operator: And that does conclude today’s presentation. Thank you for your participation.